Operator: Greetings and welcome to the CVR Energy Second Quarter 2013 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jay Finks, CVR Director of Finance. Thank you. Mr. Finks, you may now begin.
Jay Finks: Good afternoon, everyone. We very much appreciate you joining us this afternoon for our CVR Energy Second Quarter 2013 Earnings Call. With me are Jack Lipinski, our Chief Executive Officer; Susan Ball, our Chief Financial Officer; and Stan Riemann, our Chief Operating Officer. Prior to discussing our 2013 second quarter results, let me remind you that this conference call may contain forward-looking statements, as that term is defined under federal securities laws. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You’re cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, the actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise. This call also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures are included in our 2013 second quarter earnings release that we filed with the SEC this morning prior to the open of the market. With that said, I’ll turn the call over to Jack Lipinski, our Chief Executive Officer. Jack?
Jack Lipinski: Jay, thank you. Good afternoon, everyone, and again, thanks for joining us on our earnings call. In the second quarter CVR Energy’s consolidated adjusted net income was $124.5 million or $1.43 per diluted share as compared to $223.1 million or $2.52 per diluted share in the second quarter of 2012. Like prior quarters, we adjust net income for the impact of FIFO, that’s first in first out accounting, share-based compensation, loss on the extinguishment of debt, major turnaround expenses, the impact of derivative gains and losses and other one-time expenses. We’ll continue to return cash to shareholders through special and recurring dividends. As you’re well aware on May 20th CVR Energy declared a $6.50 special dividend which was paid on June the 10th. Our Board of Directors also declared a cash dividend of $0.75 per share which was announced this morning and will be paid on August 19th to shareholders record on August 12th. With this latest distribution, we will return $13.50 per share to our shareholders. Hopefully the opportunity to listen to our earnings calls earlier today listed by CVR Refining, LP and CVR Partners, LP. These conference calls will be available for reply over the next 14 days. Let me address some of the highlights from our business segments. First, let me deal with the petroleum business. CVR Refining second quarter distribution of $1.35 per common unit will be paid on August 14th to unit holders of record on August the 7th. CVR Energy owns approximately 71% of the common units of the CVR Refining and therefore receive proportional amount of distribution from the company. This brings the cumulative cash distributions for 2013 to $2.93 per common units for CVR Refining. CVR Refining 2013 second quarter consolidated adjusted EBTIDA was $250.6 million and that compares to $379.6 million a year ago. Overall, realized refining margins adjusted through FIFO was $19.18 per barrel, as compared to $27.07 same quarter last year. We are seeing the impact of narrowing crack spreads and higher cost to rims to comply with the renewable fuel standard. In the second quarter, we ran approximately 193,000 barrels a day of crude, our crude throughputs were at the high end of the guidance we provided during CVR Refining first quarter conference call. During the second quarter, CVR Refining completed an underwritten offering of common unit which generated approximately $394 million net proceeds. The net proceeds we used to redeem an equal number of common units from us. Accordingly, there was no increase in the number of CVR Refining common units outstanding. CVR Refining has $147.6 million units outstanding consisting of $42.8 million common units or approximately 29% owned by the public which include 6 million common units held by affiliates of Icon Enterprises and 104.8 million common units or approximately 71% owned by CVR Energy. Let me turn to the nitrogen fertilizer sector. CVR partners announced a 2013 second quarter cash distribution, a 58.3 cents per common unit. CVR Energy owns approximately 53% of the common units of CVR partner and again proportional amount of the distributions from CVR partners. With this distribution, the cumulative cash distributed to unit holders will be $1.19 per unit. CVR partners second quarter adjusted EBITDA was $44.1 million which is basically the same with last year. During the second quarter, we completed the secondary offering in the common unit, there was no increase in common units outstanding. The secondary offering generated approximately 293 million in net proceeds to us. Subsequent to the offering, CVR Partners have 73.1 million units outstanding consisting of 34.2 million common units or approximately 47% being owned by the people and 38.9 million in common units or approximately 53% being owned by CVR Energy. Let me turn over the call right now to Susan to discuss the financials. Susan?
Susan Ball: Thank you, Jack and good afternoon everyone. Our net income attributable to CVR Energy shareholders was 183.4 million in the second quarter 2013 as compared to net income attributable to CVR Energy shareholders of 154.7 million in the second quarter of last year. Non-controlling interest which included reducing the 2013 second quarter’s net income attributable to the CVR Energy shareholders was 88.3 million as compared to 10.6 million in the same period last year. this increase is primarily due to the IPO of CVR Refining in January 2013 and which we sold approximately 19% ownership interest as well as the most recent reduction of ownership in both CVR Refining and CVR Partners with the offerings that occurred in the second quarter of 2013. As Jack previously mentioned that we now own 71% of the common units of CVR Refining and 53% of the common units of CVR Partners. Adjusted net income for the quarter was 124.5 million as compared to 223.1 million in the second quarter of 2012. And again this adjusted net income is adjusted for the non-controlling interest. As mentioned on previous calls, we believe adjusted net income is a meaningfully metric for analyzing our performance, as it does eliminate the impact of non-cash and other unusual items inherent in our business, and provides a more transparent view as to the market expectations. The most significant adjustment to net income in calculating adjustment was a net derivative gain of 120.5 million adjusted for current period settlements on derivatives contracts of 14.7 million. This is a net adjustment of 105.8 million gross, not tax affected. Additionally we adjust for impacts of FIFO inventory accounting in the second quarter of 2013 we realized the favorable FIFO impact of 24.2 million. We also adjusted for the impacts of share-based compensation of 4.3 million for the second quarter of 2013. Additionally these adjustments are adjusted for the non-controlling interest and then further adjusted for the tax impact associated with them. For the second quarter of 2013 our effective tax rate was 26.8% as compared to 35.5% for the second quarter of 2013, this significant reduction is due to the increased income that's attributable to the non-controlling which is not taxable to us. As Jack mentioned our Coffeyville and Wynnewood refineries on a consolidated per barrel basis reported a refining margin of $19.18 per crude oil throughput barrel, which is adjusted for the favorable FIFO impact in the second quarter 2013 as compared to 27.07 per barrel in the second quarter 2012 which was adjusted for the unfavorable FIFO impact at that time. At the plant level Coffeyville's refining margins adjusted for FIFO impact was $20.30 per barrel in the second quarter 2013 as compared to $28.02 per barrel for the same period a year ago. Wynnewood's refining margins adjusted for FIFO impact was $17.34 per barrel, in the second quarter 2013 as compared to $25.23 per barrel for the same period a year ago. And again as Jack mentioned the adjusted EBITDA at the fertilizer segment was 44.1 million, which was the same in the prior quarter and prior year. We ended the quarter with cash and cash equivalents of approximately 1.1 billion on a consolidated basis which included a 111.9 million of cash at CVR Partners, 483.3 million of cash at CVR Refining. Excluding the amounts at the segments we have cash and cash prevalence of 539.3 million as of June 30, 2013. Total consolidated debt including current portions as of June 30 was 677 million; all debt resides at our business segments at CVR Refining and CVR Partners. Both of our segments are positioned well for future growth. With that Jack I will turn the call back over to you
Jack Lipinski: And again hopefully you did have the opportunity to listen to the earlier conference call of both CVR Refining and CVR Partners. And you notice that both companies did pre announce earnings the other day and we have reduced our 2013 distribution outlook to $1.80 to $2 a unit for CVR Partners in $4.10 to $4.90 unit procedure over funding of the cost or 480 a unit at CVR for signing minus dates, again I’d like to thank each of you for joining our call today at this point I’ll just open it for question.
Operator: Thank you, we’ll now be conducting a question and answer session. (Operator Instructions). Our first question comes from Jeff Dietert from Simmons.
Jeff Dietert - Simmons: On the $0.75 quarterly dividend, what kind of WTI Brent differential do you think you need to sustain that dividend?
Jack Lipinski: You know, we didn’t look it exactly that way because there is a number of things that go into it, one of the things Jeff that you can see is that the Brent WTI has fallen from very high level to what you know very low level to that and that the 9X211 has not fallen as hard as I can expect, so we think there is more resilience in the 211 which is also one of the other things that, if you were on my earlier conference call and I failed to mention, it’s one of the reason why we believe some portion of the rent cost is getting passed onto the consumer because without and more robust RBOB crack in New York, the importers - the ARP closes on them, so we believe they portioned up 211 maybe held up a little bit by rents again this is all kind of total it for hard to prove but the fact of the matter is that when we look at what our through distribution is, we look at the forward crack spread, we do an adjustment to what we believe are group basis will be or crude differentials in our throughput, so in one I can’t just take Brent WTI and give you a straight up answer, but if you take forward step right now realizing that you know it’s not really liquid but it is being treated into 14 and 15, we have significantly more cast coming in and the anticipated distribution and the same thing on the fertilizer business, you know, what they have forward step to look at, we have the current market but even at these kind of levels the cash that’s coming from you and it’s not insignificant.
Jeff Dietert - Simmons: Great. You've been very successful acquiring assets in the past with the original Coffeyville acquisition and more recently the Wynnewood acquisition. Could you talk about how important acquisitions are to the growth strategy and maybe provide a little overview of what the current market looks like?
Jack Lipinski: Well obviously we’re very interested virtually any assets that comes up or assets - we’re actively looking at as I mentioned in prior earnings call because of unique situation having apparent, we’re actually capable of executing acquisitions ever larger than the market cap of our own company right now simply because we can JV them with Icahn Enterprises and other affiliates of the Icahn organization, so our balance sheet is for being able to do acquisitions is subsidence and we are looking. I can’t really say whole lot more in this.
Operator: Our next question comes from Chi Chow from Macquarie Capital.
Chi Chow - Macquarie Capital: Just following up on Jeff's question there, so is the preference now for the use of cash at the CVI level, are you going to be a little bit more cautious on the special dividends as a result of looking at acquisitions? Or is the historical trend on pretty significant specials still there?
Jack Lipinski: I would believe that our ability to raise debt to a significant acquisition is very strong and cash just sitting waiting for something to happen is not something that I typically subscribe you need to have enough cash to have sufficient liquidity to meet your dividends to take care of your shareholders but our ability to raise debt and issue additional equity if we have a really accretive acquisition is probably the way we would do it.
Chi Chow - Macquarie Capital: Got it. Thanks. So I want to ask you about the potential P&L impact here in the third quarter on the backward dated WTI market. Is this going to impact all your crude purchases and can you give us any sort of guidance on what we might expect here in 3Q?
Jack Lipinski: It impacts the non-gathered barrels. The gathered barrels did not benefit from the contango and they don’t get hurt by the backwardation. So that’s winding up principally the way we buy crude and the gather system is it’s based on part 20 terms we deliver it today we pay for it. On the 20th of the following month so the crude is currently priced as delivered and then we pay for it and all of this including the liquid backwardation was built into our models when we revised our forecast.
Chi Chow - Macquarie Capital: Okay. Good. Does your hedge positions insulate you at all from the backwardation impact, crack spread hedges essentially?
Jack Lipinski: No not to any large degree obviously when you were putting on 2014 cracks you have got to believe that some of this backwardation is built into what you are paying for them. So the short answer is, is we our cracks are usually settled quarterly, quarterly average settle the way we do them and so whatever your crack is on and whatever price you are seeing at that point in time is what you get. So if it turns out that because of backwardation the crack the options took the benefit of our hedge position that benefits our hedge position.
Chi Chow - Macquarie Capital: Right. I think you said in the other call you're gathering about 54,000 barrels a day right now?
Jack Lipinski: Yes that is correct.
Operator: (Operator Instructions) I will now turn the call back over to Jay Finks for closing comments.
Jay Finks: Thank you Shea, I would like to thank everyone again for joining us today for our conference call. Please visit website cvrenergy.com or contact Investor Relations should you require more additional information. Thank you.
Operator: Thank you. This does conclude today’s teleconference. You may disconnect your lines at this. Thank you for your participation.